Baard Haugen: Good morning, and welcome to Hydro's Fourth Quarter 2025 Presentation and Q&A. We will shortly begin with a presentation by President and CEO, Eivind Kallevik, followed by a financial update from CFO, Trond Olaf Christophersen. At the end, we will finish with a Q&A session. Please note that if you have questions you would like to ask in the Q&A, you can do so at any time by typing them in the box on your screen. When we get to the Q&A, I will then ask your questions on your behalf to Ivan and Trond. And with that, I turn the word over to you, Ivan.
Eivind Kallevik: Thank you, Erik, and good morning, and welcome from me as well. As always, I will start with safety. Our top priority is to ensure the health and well-being of our employees. Now the positive development that we've seen over time continued into the fourth quarter. In fact, total recordable injuries and high-risk incidents are lower compared to last quarter, which was also a record low for Hydro. It is also worth mentioning that when looking at 2025 as a whole, we also had no fatalities or no life-changing injuries. On the other hand, we do know that this situation can change quickly. So to sustain these low numbers, that requires continuous attention and strong commitment from all employees across all our locations. And by ensuring a safe work environment, we can maintain a stable operation, which in turn enable us to deliver on our strategic ambitions. Now let's continue with the highlights of the quarter. EBITDA came in at roughly NOK 5.6 billion, with free cash flow of NOK 4.6 billion, yielding an adjusted RoaCE for the year at 10.2%. And that is above our target of 10% over the cycle. In short, the fourth quarter saw strong metal prices, high upstream production volumes and very healthy cash generation. Looking closer at the highlights listed here. First of all, alumina production are above nameplate capacity for the fourth quarter and the smelter production was also up 2.5%. On the Energy side, we can report an increased power production of some 13.6% year-over-year. We are continuously working to secure more long-term power contracts, and we are pleased to report 2 new long-term power contracts as well as the power plant investment in Norway during the quarter. Due to increased volatility driven by the global uncertainty, we have also made several difficult but also necessary restructuring decisions in the recent months during Q4. We've completed the strategic workforce reduction as planned, and we also proposed the closure of 5 European extrusion plants. And finally, the Board of Directors decided to propose a dividend of NOK 3 per share, and this is 60% of adjusted net income above the minimum threshold of 50% as decided by our distribution policy. Now we've made good progress on the strategy this quarter with several key milestones achieved. On the upstream side, both Bauxite & Alumina and Aluminum Metal have delivered good production numbers. In B&A, the Alunorte refinery experienced improved flow through the plant and high equipment availability, resulting in production above nameplate capacity. In addition, we also saw one of the highest commercial sales volumes ever in Bauxite & Alumina in the fourth quarter. As a result, in the 2025, B&A delivered its second best EBITDA ever. In Aluminum Metal, our smelter system also delivered stable performance and primary aluminum production increased some 2.5% year-over-year in the fourth quarter. As previously communicated, the Norwegian capacity that was curtailed back in 2022 is now being ramped up, and we expect to increase production by some 50,000 to 60,000 tonnes during 2026 and then comparing to '25. We expect to reach the production speed during the summer of '26. Now moving to power sourcing. For our Norwegian smelters, one of our key priorities is to secure long-term and competitive renewable power to support competitiveness as well as our low carbon position. In Q4, we have made good progress in this regard, signing 2 power purchase agreements with Hafslund, one in November and one in December. Putting these agreements together cover the period between 2031 and 2040 with a total volume of 5.25 terawatt hours. The contracts are in the price area NO3, covering the Sundal and Hojangar assets that we have. In addition to working actively on third-party sourcing, we are continuing to invest in our own hydropower system. And in Q4, we took the final investment decision on the Illvatn pumped storage power plant. And this is Hydro's biggest investment in the Norwegian hydropower system since 2004, with a gross investment of NOK 2.5 billion and net investment after tax of some NOK 1.2 billion. The Illvatn pumped storage plant will also contribute with increased power production, reservoir capacity as well as installed power capacity from our facilities in Fortun. And then lastly, cost control. One of the things we talked a lot about in 2025 was uncertainty and the need to take proactive measures. So in Q3, we announced the strategic workforce reduction for white-collar employees on a global scale. This program concluded in fourth quarter with around 850 white-collar employees having either left or will leave the company within the first half of 2026. The FTE reduction, together with reduced spending on consultants and travel, will yield savings of roughly NOK 1 billion per year starting now in 2026. Likewise, just before our Investor Day late in November, we did announce the proposed closure of 5 European extrusion plants. We have now confirmed the closure of 2 of the plants, Bedwas and Cheltenham in the U.K., and the process around the remaining 3 plants is still ongoing. As we all know, Extrusions has faced market headwinds also during 2025, which has negatively impacted their results. On the other side, the Extrusion organization has worked hard on cost control and mitigating actions, which enabled them to deliver a good and positive cash flow from the business area in 2025. Now turning to Bauxite & Alumina. In the fourth quarter, oversupply in the alumina market put a continued downward pressure on PAX. And according to CRU, 2025 ended with a small surplus of around 700,000 tonnes. This is expected to narrow somewhat to about 500,000 tonnes in 2026 in the roughly 145 million global market for alumina. As a result, the market remains sensitive to any production disruptions or delays in ramp-up of new facilities. During the quarter, new refineries in Indonesia continued to ramp up production, while alumina prices in China declined. This pushed the PAX index down to $306 per tonne at the quarter end from $321 in the third quarter. In China, bauxite import prices remained stable at around $70 per tonne on a CIF basis. Import volumes, on the other hand, increased by some 10% year-on-year, to 43.5 million tonnes imports from Guinea, increasing with 20%, while shipments from Australia declined by some 9%. Then moving on to LME. Now looking at the global primary aluminum balance in 2025, external sources estimated a global deficit of primary aluminum at around 0.3 million tonnes. The 3-month aluminum price increased throughout the fourth quarter of 2025, starting the quarter at $2,688 per tonne and ending at $2,995 per metric ton. This rally was likely supported by a weaker dollar, news of a potential shutdown of the Mozal smelter in Mozambique and a broadly bullish sentiment across base and precious metals. The U.S. Midwest premium continued to surge in the fourth quarter, moving from around $1,675 per tonne at the start of the quarter to just above $2,000 by quarter end. And this increase reflects the market fully pricing in the 50% import duty under the Section 232 tariffs, highlighting both the underlying structural aluminum deficit in the U.S. as well as the continued need to attract metal into the domestic market. In Europe, duty paid standard ingot premiums ended the fourth quarter at $335 per tonne, up from $223 per tonne at the end of the third quarter. This is due to the tightening supply situation that we have and certainly some CBAM front-loading also going into 2026. As in previous quarters, Hydro's primary concern remains the risk of a broader global economic slowdown driven by tariffs and trade tensions, which could weaken demand and put pressure on the current price levels that we see today. Now moving downstream. We see Extrusion demand ended in 2025 with a modest increase in Europe and a modest decrease in North America compared to the last year. In Europe, Extrusion demand is estimated to have been flat in the fourth quarter of 2025 compared to the same quarter last year but increasing 3% compared to the third quarter. Demand from building and construction and industrial segments have stabilized at historically low levels with some improvements in order bookings. Automotive demand has been negatively impacted by lower European light vehicle production but has been partly offset by increased production of electric vehicles. And CRU estimates that the European demand for extruded products will increase 1% in the first quarter of 2026 compared to the same quarter last year. Overall, Extrusion demand is estimated to have increased by 1% in 2025 compared to '24, with current estimates for '26 as compared to 2025 coming in at 3%. In North America, Extrusion demand is estimated to have been flat in the fourth quarter of '25 compared to the same quarter last year, but it did decrease 8% compared to the third quarter, which is partly driven by seasonality. Extrusion demand has continued to be very weak in the commercial transport segment, driven by lower trailer builds. Automotive demand in the U.S. has also been weak. Demand within building and construction has been positive as well as within certain industrial segments. At the same time, Extrusion demand across segments is being subdued due to higher product prices resulting from tariffs and duties on aluminum in the U.S. CRU estimates that North American demand for extruded products will decrease some 1% in the first quarter of 2026 compared to the same quarter last year. Overall, Extrusion demand is estimated to have decreased by 2% in 2025 compared to 2024, but there is an expectation of a growth of 1% in 2026 compared to '25. And let me then give the word to Trond Olaf for the financial update.
Trond Christophersen: Thank you, Ivan, and good morning, and welcome from me as well. We'll start my part with the financial highlights for the quarter. Comparing year-over-year, revenues fell by around 14% to NOK 47 billion for Q4, driven by lower alumina prices. For Q4, we have an adjusted EBITDA of NOK 5.6 billion and a reported EBITDA of almost NOK 2 billion, meaning that we have adjusting items of around NOK 3.6 billion. The main adjusting item is unrealized derivative loss, mainly on LME-related contracts of NOK 2.3 billion. We also have rationalization charges and closure costs of NOK 1.3 billion, mainly related to the restructuring of Extrusion Europe. There were also smaller positive adjusting items from FX and divestments. The adjusted EBIT for Q4 was NOK 2.9 billion, with a reported EBIT of negative NOK 1.5 billion. In addition to the EBITDA adjusting items, there were NOK 700 million in adjusting items impacting EBIT related to impairments. The difference between the adjusted and the reported EBIT was therefore negative NOK 4.3 billion. Net financial expense for Q4 was around negative NOK 600 million. Interest and other financial income was NOK 430 million, offset by interest and finance expense of NOK 470 million and foreign exchange losses of NOK 575 million, mainly reflecting a weaker BRL versus U.S. dollar. The income tax expense was NOK 57 million in Q4, impacted by negative earnings before tax, offset by higher power surtax. Overall, this results in an adjusted net income of NOK 1.7 billion with reported net income of negative NOK 2.2 billion. The total adjusting items to net income was NOK 3.8 billion, which is the sum of the EBIT adjusting items plus a net foreign exchange loss of NOK 575 million and an income tax effect of negative NOK 1 billion. Adjusted net income is down from NOK 2.6 billion in the same quarter last year and down from NOK 1.9 billion in Q3. Consequently, adjusted EPS was NOK 0.7 per share. When looking at results Q4 versus Q3, adjusted EBITDA decreased by NOK 400 million from NOK 6 billion to NOK 5.6 billion. The main driver was lower Extrusion results -- realized results. Realized all-in aluminum prices contributed positively by NOK 800 million, and alumina price contributed negatively by NOK 300 million, for a net effect of around positive NOK 500 million. Upstream volumes contributed positively by NOK 300 million, driven by alumina production above nameplate capacity and high commercial alumina trading volumes. Lower raw material costs in Bauxite & Alumina and lower alumina costs in Aluminum Metal contributed positively by NOK 400 million. Extrusions and recycling margins and volumes had a negative impact of around NOK 1 billion, driven by seasonally lower volumes and lower margins in extrusion. In Energy, higher production and prices were partly offset by lower gains on price area differences, with a net positive impact of around NOK 300 million for the quarter. Fixed costs were around NOK 400 million, higher compared to the Q3, mainly in Aluminum Metal and Extrusions and mainly driven by seasonal effects. Currency effects positively impacted results by around NOK 100 million. The final negative effect of NOK 500 million is mainly related to other and eliminations. The eliminations this quarter amounted to approximately NOK 300 million on the profits on the increased volume in B&A. And this concludes the adjusted EBITDA development from NOK 6 billion in Q3 to NOK 5.6 billion in Q4. When looking at the full year EBITDA development from 2024 to 2025, adjusted EBITDA increased by NOK 2.6 billion, from NOK 26.3 billion to NOK 28.9 billion. The main drivers were higher aluminum price and normalizing eliminations, offset by stronger NOK versus U.S. dollar. Realized all-in aluminum and alumina price contributed positively with around NOK 2.3 billion, where higher aluminum price was partly offset by lower alumina price. Upstream volume development had a net positive impact of NOK 500 million, with higher sales volumes in both B&A and Aluminum Metal. Raw material costs improved with NOK 500 million. B&A saw an improvement of NOK 1.1 billion, where the fuel switch savings were partly offset by higher costs for other raw materials. Raw material costs in aluminum metal increased by NOK 600 million on higher alumina costs. The downstream segments contributed to -- continued to face headwinds in 2025, leading to a total negative effect of around NOK 400 million. Extrusions experienced headwinds of around NOK 700 million from reduced volumes and margins, while the recycling results in Metal Markets improved by NOK 300 million. Furthermore, we saw a net positive impact of NOK 800 million due to higher energy prices, production and gain on price area differences compared to 2024. Fixed costs increased in 2025 with an impact of NOK 800 million, where increased fixed cost upstream, mainly related to inflation and salary adjustments, were partly offset by reduced fixed cost in Extrusions. We also saw a negative NOK 2.7 billion in currency effects, mainly driven by the stronger NOK versus U.S. dollar. The final contribution of NOK 2.4 billion was driven by NOK 2.6 billion in realization of previously eliminated internal margins. And this was partly offset by NOK 200 million in net other effects. Then moving on to debt. And when looking at the debt development through the quarter, net debt decreased by NOK 3.9 billion since Q3. Based on the starting point of NOK 13.6 billion in net debt in Q3, we had a positive contribution in adjusted EBITDA of NOK 5.6 billion. During Q4, we saw a net operating capital release of NOK 1.4 billion, mainly driven by a release in net accounts receivable and accounts payable, partly offset by increased inventories and receivables related to CO2 compensation. Under other operating cash flow, we had a positive NOK 1.6 billion impact, mainly driven by dividend contributions from equity accounted investments and adjustment for noncash effective bonus accruals, partly offset by interest payments. On the investment side, we had a net cash effective investments of NOK 4 billion, reflecting the typical high maintenance investment activity level at the end of the year. As a result, we had positive free cash flow of NOK 4.6 billion in Q4. We also had negative other effects of NOK 700 million, and this was mainly driven by negative FX effects on debt and new leases. As we move on to the adjustment related to adjusted net debt, hedging collateral has increased by NOK 600 million since the end of Q3. Furthermore, during Q4, the net positive pension position increased by NOK 300 million. And finally, we had an increase of NOK 700 million in other liabilities during Q4, mainly explained by increased provisions related to restructuring in Extrusion Europe. And with those effects taken into account, we end up with an adjusted net debt position at the end of Q4 of NOK 18.2 billion. Moving then to the business areas and starting with Bauxite & Alumina. Adjusted EBITDA for Bauxite & Alumina decreased from NOK 5 billion in Q4 '24 to NOK 1.4 billion in Q4 '25. This was mainly driven by lower alumina prices and negative currency effects caused by a weaker U.S. dollar against the Norwegian kroner. This was partly offset by higher sales volumes and strong trading results in B&A. Compared to Q3 '25, the adjusted EBITDA increased from NOK 1.3 billion to NOK 1.4 billion in Q4 '25, mainly driven by higher sales volumes and strong commercial results. Production volumes ended the quarter above nameplate capacity following high equipment availability and improved refinery flow. Alumina realized prices declined during the quarter but remained above market prices indications, supported by intra-group pricing mechanisms. Raw material costs were lower compared with the Q3, driven by lower caustic soda and coal prices, and fixed costs remained roughly stable. Moving then to the Q1 outlook. For Q1, we expect fixed and raw material costs to remain stable. Production volumes are expected to decline seasonally, reflecting fewer operating days in Q1 and scheduled maintenance activities. Realized alumina prices are anticipated to continue correcting in line with market trends, while trading results are expected to return to more normalized lower levels. Moving then to Aluminum Metal. Adjusted EBITDA increased from NOK 1.9 billion in Q4 '24 to NOK 3.7 billion this quarter. The main drivers year-on-year were higher all-in metal prices and reduced alumina costs, partly offset by negative currency effects. Compared to Q3 '25, adjusted EBITDA for aluminum metal, increased from NOK 2.7 billion, and this was driven by higher all-in metal prices and lower alumina costs, partly offset by seasonally higher fixed costs. The alumina cost reduction of approximately NOK 200 million drove raw material cost savings above our Q3 guidance of a flat impact. The guided seasonal increase in fixed costs ended slightly above our guidance of around NOK 220 million. And this brings me over to the Q1 outlook. For Q1, AM has booked 70% of the primary production at USD 2,803 per tonne. This includes the effect of our strategic hedging program. We have also booked 40% of the premiums affecting Q1 at USD 478 per tonne. We expect the realized premium to end up in the range of USD 380 to USD 430 per tonne. On the cost side, raw material expenses are expected to increase by NOK 100 million to NOK 200 million, primarily driven by LME-linked energy costs in our joint venture portfolio. Fixed costs are expected to increase by NOK 50 million to NOK 150 million, driven by seasonality, and sales volumes are also expected to increase. For Metal Markets, the adjusted EBITDA decreased in Q4 from NOK 319 million in Q4 '24 to negative NOK 56 million due to lower results from sourcing and trading activities and negative currency and inventory valuation effects. Those were partly offset by increased results from recyclers. Excluding the currency and inventory valuation effects, the result for Q4 was NOK 39 million, down from NOK 115 million in Q4 '24. Compared to Q3, adjusted EBITDA for Metal Markets decreased from NOK 154 million due to lower results from recyclers and from sourcing and trading activities. Recycling results ended lower at NOK 48 million, down from NOK 93 million last quarter. Decrease was primarily driven by challenging market conditions for the European recycling operations. For Q1, we expect stable recycling results. In our commercial segment, we also anticipate higher contribution from sourcing and trading activities in Q1. As always, we emphasize the inherent volatility of trading and currency fluctuations. And for 2026, we expect the commercial adjusted EBITDA, excluding currency and inventory valuation effects, to be in the range of NOK 200 million to NOK 400 million. Moving then to Extrusions. For Extrusions, the adjusted EBITDA decreased year-over-year from NOK 371 million to a negative NOK 62 million, driven by lower margins and sales volumes. Still strong focus on cost control and portfolio optimizations have contributed to a full year 2025 positive cash flow. We saw 1% decline in sales volumes as well as strong pressure on sales margins across the portfolio. Similar to the previous quarter, transport volume developments were negative, but headwinds are moderating compared to previous quarters. Shipments to the transport market were down 4%, negatively impacted by North America. Automotive sales in Q4 were still negative in both Europe and North America, driven by continued moderate production at some car manufacturers. Sales volumes growth in the industrial segment ended 8% higher in Q4, while sales in the distribution segment increased by 6% in Q4, mainly driven by increased shipments in the U.S. After a significant increase in volumes in the HVAC&R segment previously in 2025, the trend turned negative in Q4 '25, mainly caused by tighter consumer spending and inventory offloading at customers. The metal effect for the quarter ended at NOK 160 million. Compared to Q3 '25, adjusted EBITDA for Extrusions decreased from NOK 1.1 billion in Q3 to negative NOK 62 million in Q4 due to seasonally lower sales volumes, partly offset by lower costs. When looking at Q1, we always compare it to the same quarter last year, and this helps to capture the typical seasonal patterns we see in Extrusions. Looking at external market data, volumes in Europe are expected to increase moderately by 1%, while North America shows a slight decline of about 1%. We expect our European sales to be largely stable, while our North American sales are expected to decrease slightly more than the external market estimate due to our high exposure to commercial transport and distribution. Margins are expected to remain more or less stable with some improvements expected in North America due to favorable scrap prices. On the metal side, we expect flat metal effect development compared with the same quarter last year. It is, however, important to note that the metal effect are highly dependent on movements in the Midwest premium. Moving then to the final business area, Energy. The adjusted EBITDA for Q4 decreased to NOK 1.1 billion compared to NOK 1.2 billion in Q4 '24. The decrease was mainly due to lower gain on price area differences, offset by higher production and higher prices compared to Q3. Compared to Q3, adjusted EBITDA increased from NOK 828 million, mainly due to high seasonal production. Some of this increase is also due to planned maintenance that will be done during Q1. The price area gain was NOK 37 million in Q4, at significantly lower level than in Q3, following a seasonal convergence between the area prices. Looking into Q1, as always, we should be aware of the inherent price and volume uncertainty in Energy. For the next quarter, production is expected to decrease due to power plant maintenance and to be below the normal seasonal levels. While price area while prices are expected to increase with the seasonality, price area gains are expected to decline further. And then moving to the dividends. This year, the Board of Directors has proposed a distribution to shareholders of NOK 5.9 billion. This will be distributed as an ordinary cash dividend of NOK 3 per share. The dividend proposal represents a cash distribution of 60% of adjusted net income, a year-end yield of around 3.8% and a 5-year average payout ratio of 65%. Hydro's capital structure policy to maintain an adjusted net debt target over the cycle of around NOK 25 billion at the year-end, including proposed shareholder distribution to be paid year after remains unchanged. As always, the final distribution for 2025 is subject to approval by the Annual General Meeting in May 2026. And with this, I end the financial update and give the word back to Ivan.
Eivind Kallevik: So let me conclude today's session by outlining our priorities going forward. First and foremost, it's health and safety. This remains a nonnegotiable for Hydro. We see that building a strong safety culture has a positive impact on our performance metrics. And we need to continue learning and improving to keep these numbers low also going forward. Secondly, through uncertain times, we are taking measures to improve our robustness. Cost control measures such as the strategic workforce reduction and restructuring in extrusions are helping us to grow with the right structure going forward. Our strategic growth areas remain recycling, extrusions and renewable energy. While we do recognize the current market challenges, we also see meaningful progress, including the new long-term power contracts secured in Q4 in addition to the upgrade of our own power plants. Lastly, we continue to deliver on our decarbonization and technology road map while seizing opportunities in greener aluminum. One concrete example from Q4 is our new partnership with the University of Michigan, which is aimed at translating innovation rapidly from lab to production. This positions Hydro to support customers in reducing emissions and to future-proof their own supply chains. So to sum up, we remain fully committed to our 2030 strategy, and the fourth quarter of 2025 demonstrated important steps in the right direction. With that, I want to thank you all for your attention, and then over to you, Erik.
Baard Haugen: Thank you, Ivan, and thank you, Trond Olaf. We will then commence the Q&A. And just a remind, If you do have questions, please type them in the box on the screen, and I will then read your questions to Ivan and Trond Olaf. And I think we have a few questions already. So let's get started. First one is from Marina from RBC. Based on the order book, how confident are you in a volume recovery in Extrusions in the second half of 2026?
Eivind Kallevik: So when we look at the extrusion order book, that is typically pretty close in time. Very seldom do you have extrusion companies booking into the second half. So we'll still need to see the economic growth coming in into the second half from orders as we get later on in the year. What's important, I think, for us, at least when we look at the automotive sales, for instance, several of the new contracts that we have talked about that we have booked in the last couple of years, they are now coming into production. But seen from an internal viewpoint in the company, it's too early to sort of conclude where we see the second half on the extrusion side.
Baard Haugen: Okay. Next one is from Liam from Deutsche, also on Extrusions. Can you clarify the guidance for Q1 '26 versus Q1 '25? Are you expecting broadly flat EBITDA year-on-year? What have been the cumulative one-off gains in Extrusions in 2025 from the high Midwest premiums?
Trond Christophersen: Liam, so to comment on your question. So first, the last question. So in total, we had around NOK 700 million in positive metal effects in Extrusions in 2025. If you then look at the different parts of the extrusion guiding, you see that we guide on roughly flat metal effect, some pressure on volumes, but flattish development on the margin side.
Baard Haugen: Then we have another question from Marina. You are guiding for higher fixed and raw material costs in your Aluminum Metal division. Can you elaborate on the key drivers?
Eivind Kallevik: So let me comment on 2 things. So when you look at fixed cost, typically in Q4, you have the reversal of vacation accruals, which is done and then you don't have that into Q1. So that will drive fixed costs up somewhat. And then we have some of the power contracts within our joint venture portfolio that also has an LME link into it. So that will lift the Energy costs somewhat coming into first quarter and into 2026.
Baard Haugen: Okay. And then we have another one from Liam. Does the cost guidance for Q1 factor in a stronger NOK?
Trond Christophersen: Yes. So the cost guidance is based on the currency assumption some weeks back. So then you need to factor in any development after that.
Baard Haugen: And then we have a question from Alain, Morgan Stanley. Q4 B&A beat expectations. Can you quantify the trading contribution in the quarter and indicate how much of this is sustainable into Q1 '26?
Trond Christophersen: Yes. So we have around NOK 300 million in very strong commercial results in B&A in Q4.
Baard Haugen: And then another question from Alain on B&A. Alunorte ran above nameplate in Q4. Is this operationally sustainable? Or should we expect normalization in 2026 due to maintenance or any bottlenecks?
Eivind Kallevik: So I think when you look overall for the year, we still have a target to produce at nameplate capacity, which we showed also in the fourth quarter. Now when we look at first quarter of '26, you should expect volumes to come down somewhat, driven by 2 things. One is that there are fewer production days in Q1. And secondly, also that we will have some planned maintenance in the first quarter. So a little bit lower production speed in Q1. But over the year, we should be still targeting nameplate capacity.
Baard Haugen: And then there doesn't seem to be any other further questions. So if nothing else comes in, I think we will say thank you all for joining us here today. And if you do have any further questions, please don't hesitate to reach out to Investor Relations. Thank you.